Operator: Thank you for standing by. This is the conference operator. Welcome to the Avino Silver & Gold Mines Q3 2023 Conference Call and Webcast. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Jennifer North, Head of Investor Relations. Please go ahead.
Jennifer North: Thank you, operator. Good morning, everyone, and welcome to the Avino Silver & Gold Mines Limited third quarter 2023 financial results conference call and webcast. To join this webcast and conference call, there is a link in our news release dated November 1st and in our news release of yesterday’s date, which can be found on our website under News 2023. On the call today, we have the Company’s President and CEO, David Wolfin; our Chief Financial Officer, Nathan Harte; our Chief Operating Officer, Carlos Rodriguez; and our VP Technical Services, Peter Latta. Before we get started, please note that certain statements made today on this call by the management team may include forward-looking information within the meaning of applicable securities laws. Forward-looking statements are subject to known and unknown risks, uncertainties and other factors that may cause the actual results to be materially different than those expressed by or implied by such forward-looking statements. The Company does not intend to and does not assume any obligation to update such forward-looking statements or information other than as required by applicable law. For more information, we refer you to our detailed cautionary note in the presentation related to this call or on our press release of yesterday’s date. Please note that the full financial statements and MD&A are now available on the website under the Investors tab then click on Financial Statements. As well, the full statements are available on Avino’s profile on SEDAR and on EDGAR. I would like to remind everyone that this conference call is being recorded and will be available for replay later today. Replay information and the presentation slides on this conference call and webcast will be available on the website. Also note that all figures stated are in U.S. dollar unless otherwise noted. Thank you. I will now hand over the call to Avino’s President and CEO, David Wolfin. David?
David Wolfin: Thanks, Jen. Good morning, everyone, and welcome to Avino’s Q3 2023 financial results conference call and webcast. Please note that the full financial statements and MD&A are now available on our website. On today’s call, we will cover the highlights of the third quarter financial and operating performance, and we’ll go over the work that we are currently performing, and then we will open it up for questions. I will begin with a discussion on operations for Q3, and then I will turn it over to Nathan Harte, Avino’s CFO, to discuss the financial performance for the third quarter, and Jennifer North, our Head of Investor Relations, for an overview of Q3 ESG initiatives. Please turn to slide 5, where I have outlined the operational highlights. Our Q3 production results were released in mid-October and we achieved production results of over 591,000 silver equivalent ounces, which brings the 12-month trailing total to 2.63 million silver equivalent ounces. We are currently pleased with the drill results released in July and September from a total of 7 drill holes that included the best intercept in the Company’s history. In September, we reported 4 drill holes below Level 17 at the ET area that included substantial width at grades above our current cutoff grades. In July, we reported the best drill intercept in the history that showed 57 meters of true width of mineralization. Drill Hole ET-23-09 had exceptionally wide and very high silver, gold and copper grades, which is very encouraging for continued exploration of the Avino vein. I will expand further on the exploration program results later in the call. We have now completed our planned and budgeted drilling program for the year and drilled 7,545 meters in 13 holes. The pre-feasibility study on the oxide tailings project is currently underway and is expected to be completed early in Q1 2024. The dry stack facility is fully operational with the conveyor system installed, and we are now transporting the press tailings to the Avino open pit area. At the La Preciosa property, communication with the Tahito [ph] group is ongoing, and we are fully committed to moving the project forward as it factors prominently into our five-year growth plan. Here we show our Q3 production results. The production results from the Avino mine continued to be consistent. In Q3, we are mining in areas with lower copper grades and experienced lower recovery rates. The production results are as follows: silver equivalent production was 591,000 ounces; silver production was 237,000 ounces; copper production was 1.14 million pounds; gold production increased by 73% to just under 2,100 ounces; mill throughput was just under 155,000 tons. Based on year-to-date production, the current time line associated with processing material from La Preciosa, we have adjusted our internal production estimate for the full year to 2.4 million to 2.7 million ounces of silver equivalent. Our five-year growth plan takes us from production levels of 2.4 million to 2.7 million ounces of silver equivalent to between 8 million and 10 million ounces of silver equivalent by 2028. Turning to slide 7, I would like to touch on exploration results from the third quarter. 8,000 meters of drilling was planned for the year, and we have now achieved 745 meters and the 2023 program is now completed. We released results of September 14th that included four drill holes from below Level 17. And on July 5th, we also released three holes. Moving on to slide 8, the information from September 14 drill results are shown. As mentioned in the previous slide, we released the assays from four drill holes. We hit substantial width at grades well above our current cutoff grade on all four holes. For hole ET-23-13, there was 0.7% copper, 31 grams silver and 0.21 grams gold over 44 meters of true width. In addition, we have continued to define the Hanging wall Breccia, which is an offshoot of the Avino main vein that originates from surface. The access to the breccia is relatively easy through existing development works, and we are currently evaluating a mine plan to incorporate these resources into our medium term plans. We were also surprised with the intersection of stockwork vein close to surface, which indicated the complex and distributed nature of the stockwork system that accompanies this thick main Avino vein. The drilling completed in 2023, followed the continuity of the steeply dipping mineralization and helps in understanding the deep source of the mineralization. Avino has enlisted a number of world renowned consulting geologists to contribute to the geological understanding of the mineralization characteristics. The known depth extent to date of at least 750 meters of mineralization is significant. On this slide, you will see two images revealing the drill hole location and the cross-section of hole ET-23-13, where you can -- at the drill location. The full intercepts and drill data can be viewed in the news release, which is on our website. Moving to slide 9. This was very exciting for us. We reported the best intercept in the Company’s history on July 5th. We released three holes from the program below Level 17 at the ET area of the Avino mine. And one of the intercepts drilled drill hole ET-23-09 showed 57 meters of true width mineralization and is a step out of 50 meters to the west of Avino’s most westerly drill hole and 200 meters down dip below Level 17. The whole assayed 296 grams of silver equivalent over 57 meters true width, including 407 grams of silver equivalent over 37 meters true width and 2,866 grams of silver equivalent over 3.43 meters of true width. There are two images on this slide that the one at the top is a longitudinal view of the Avino vein showing the drill hole locations and the projection of the mineralization in red, and the lower image is a cross-section of the above mentioned hole ET-23, and the down dip extension from the current mine workings. The exceptionally wide and very high silver, gold and copper grades are extremely encouraging for our continued exploration of the Avino vein and associated stockwork, breccia at depth and suggests a much more complex mineralization system. We are still open along strike and at depth. At this time, I will now hand it over to Nathan Harte, Avino’s CFO, to present Avino’s Q3 financial results. Nathan?
Nathan Harte: Thank you, David. It’s my pleasure to be on the call, and I would like to welcome everyone who has joined us in reviewing our presentation today. Turning to slide 10 for a review of the Q3 2023 financial highlights. Our results from this quarter showed positive increases across the board in almost all key metrics. Q3 was the best performing of 2023 when it comes to revenues, mine operating income, EBITDA, adjusted earnings and operating cash flow generated before working capital movements. Revenues for the quarter came in at $12.3 million, an increase of over $3 million from the previous quarter as well as the comparable quarter in 2022. Mine operating income for this quarter was $2.4 million with $5.3 million generated year-to-date. Cash flows generated from operations before working capital adjustments was $1.8 million, totaling $4.1 million for the full year 2023 so far. Adjusted earnings came in at $1.6 million or $0.01 per share for this quarter with the year-to-date total sitting at $2.6 million or $0.02 per share. At September 30th, we did see an increase in working capital of $2.8 million or 62%, bringing our total up to $7.4 million from the $4.6 million we had at the end of the second quarter. Coming to slide 11, I will walk you through some key additional financial results as well as the ones discussed in the previous slide. As noted already, revenues came in at $12.3 million, well up from the $9.1 million we showed in Q3 2022. As we move on from some plant operational challenges that affected the second quarter and part of the third quarter, we are looking for that trend continue into the end of the year and on to 2024. We generated mine operating income of $2.4 million for this quarter, which includes noncash depreciation and depletion and is compared to $2.1 million in the third quarter of 2022. The increase is a result of higher revenues, which were offset by a very strong peso to U.S. dollar rate when compared to the third quarter in 2022. On a cash basis, mine operating income was $3.1 million, representing a cash operating margin of 26%. Avino reported a net loss after taxes of $0.8 million or $0.01 per share for the third quarter compared to a loss of $1.1 million or $0.01 per share in 2022. EBITDA was $0.7 million for the quarter and adjusted earnings were $1.6 million, both showing significant increases for the same quarter year-over-year. Cash flow from operations for Q3 was $1.8 million before working capital adjustments, up from $1.6 in Q3 of 2022. Beyond slide 12, you can see our cash costs for silver equivalent payable ounce for the third quarter were similar to last quarter at $16.90 with both quarters elevated over results from 2022. All in sustaining cash costs for silver equivalent payable ounce followed a similar trend, although we did see a decrease from the second quarter as it came in at $22.69. The increases for both metrics are in line with our messaging on our second quarter call and as a result of lower production from mill recovery challenges and lower grades arising from the planned mine sequence in the underground. On top of this, the Mexican peso appreciated, up over 15% in the third quarter compared to the 2022 average. While we’ve seen an improvement on this front in the third quarter when compared to the second quarter, there has been an impact on our costs as the majority of all our expenditures are incurred in Mexico with local suppliers, employees and contractors on-site. We have put a number of measures in place for cost reduction, including lowering haulage rates to match the mill throughput as we have generated the large ore stockpile over the last few months as well as certain administrative and auxiliary personnel reductions. Now coming to slide 13. You can see our cash cost per ton processed for the quarter came in above the recent average as well at $59.46. On an all in basis, we were also up from our first two quarters, but we did come in below the 2022 average. Increases on a per ton milled basis are primarily a result with higher mining and haulage rates as we mined over 200,000 tons this quarter, which is about 30% higher than our milled tons of 154,000. As well, lower ounces produced per ton contributed to the increased cost as a result of the operational items mentioned before. So far in the fourth quarter, we have seen improvements to both grade and recovery, and controlling cost remains a key priority for Avino alongside our growth plans. At this point, I will now turn it over to Jennifer North, Head of Investor Relations, for an overview of our Q3 ESG initiatives.
Jennifer North: Thanks, Nathan. Now turning to slide 14. We have listed our recent ESG initiatives for the third quarter of the year. These continue to build on Avino’s efforts to incorporate the principles of sustainability and social responsibility. We have added members to the CSR team in Durango, and the department is working to ensure that we continue meaningful conversations with the community that are close to the mine. The activities carried out during the third quarter under the new CSR management team were focused on improving relationships between each of the communities and strengthening the social bond while establishing a new social link between company and community. The activities carried out were as follows. In all of the communities, parents were offered summer courses for children aged 6 to 12. This summer program was developed to encourage and promote healthy ways to manage children’s summer free time. Courses and workshops were offered in a number of different activities, including soccer, arts and crafts, drawing, Taekwondo and others. In total, 220 children from the communities of Panuco de Coronado, Zaragoza and San Jose de Avino participated. In August, Avino’s medical department conducted its annual first day training for a period of 6 days with 2 sessions a day. There were 119 employees from the mine coming from different departments to learn and improve the first aid skills. As a high percentage of our employees come from the nearby communities, this training also benefits everyone in the adjacent areas. The goal is to ensure that all of our employees have the knowledge and skills necessary to be first responders in the event of an emergency. Also, the team put together several educational pieces to show our management of tailings, how we safely manage the tailings, what dry tailings means as well as the testing process. Educational flyers and videos in Spanish and English have been posted to the website and shared in the communities. For environmental compliance and for educational purposes, water samples were taken at the junior high school in September, together with the residents of the Panuco de Coronado community alongside company representatives to show Avino’s sampling process. In addition, the Company continues with its ongoing community road works and delivery of garbage drums in generally supporting in beneficial ways. In September, the Company showed its commitment to the mental health of employees by commemorating World Suicide Prevention Day, where talks and support were offered. In addition, we are so pleased with the efforts of the CSR team in Durango as they were recognized for the second year in a row for the ESR distinction as being a socially responsible company. This designation is a reflection of the passion and dedication of the Company and shows that not only do we extract minerals, but we sow knowledge to build a brighter future for generations to come. Every day, every action brings us closer to a brighter and sustainable future. The mine is more than a workplace, it is an example of responsibility and commitment to be in harmony with the environment. One of the top priorities for Avino is to provide jobs to those in the surrounding communities with the goal of fostering generations of enthusiastic and dedicated ambassadors of Avino. We currently have 448 direct jobs, which includes the workers at the mine site and in our Durango offices. This number of jobs will typically translate to 3 times the number of indirect jobs for services, consultants and suppliers in the surrounding communities and the Durango area. In September, I was fortunate to go to Durango and spend time at site in the offices talking about our strategic alignment goals that span across the Company and communicating how we can work towards shared goals and vision. We have an action plan to inform, educate, and support all employees and community members to become ambassadors of Avino, and that we will all benefit when community and company are aligned. The success of Avino is dependent on its people, profitable operations, community support and a strong and sustainable future. I will now turn it back over to David to continue on with the presentation, providing our plans for the coming quarter. David?
David Wolfin: Thanks, Jen. Moving to slide 15, you can see our plans for the remainder of 2023. We are now well into the final quarter and the prefeasibility study on the oxide tailings project is well underway. We expect to present the results to the market in Q1 2024. We are also focused on our plans for the Gloria and Abundancia veins at La Preciosa with community engagement ongoing as we ready ourselves to begin development work. Equipment is being sourced and the environmental permit application has been prepared, and we are finalizing it for submission. As we have mentioned previously, we are in talks for the social blessing with the Tahito [ph] group, and this is something that takes time and patience. We will let the market know when this is finalized. And in the meantime, we continue to negotiate in good faith, so we may move forward with our plans. As mentioned earlier, our drilling program for 2023 is complete, and we will be reviewing the results to determine next steps for 2024. Lastly, the main goal is to replenish the treasury from cash flow generation from the Avino mine as we look forward to the future development of La Preciosa and the Oxide Tailings projects. On slide 16, we want to reemphasize the Company’s plans for growth. We have three assets within 20-kilometer footprint, totaling hundreds of millions of silver equivalent ounces. On the same area, we are operating a mill complex, which is currently producing from the Avino mine. Additional access to water, power and tailing storage, all ingredients to grow organically without the major capital investment required that would be -- that would expect if you were starting from scratch. As you can see on this slide, our goal is to scale up by 2028 through the production from these three assets. Lastly, please move to slide 17, where we present our continued initiatives for growth, which are: development, production and optimization of La Preciosa; the tailings project prefeasibility study and eventual construction decisions; developing next steps for exploration and drilling; evaluating recommendations made by renowned structural geologists. We would now like to move the call to the question-and-answer portion. Operator?
Operator: [Operator Instructions] Our first question is from Heiko Ihle with H.C. Wainwright.
Heiko Ihle: Let’s talk about La Preciosa for a bit. I mean, in our view that assets should really help growth for the firm in the intermediate, and also the longer term really. Given commodity prices, Mexican political and just the general market sentiment that we are seeing, has you internal timeline for the assets shifted in any way over the past three months? And just capital wise, how much cash flow do you anticipate using for the site in calendar ‘24?
David Wolfin: Sorry. Heiko, you’re not coming in very clear, I don’t think. Can you repeat the question?
Heiko Ihle: What I was saying is let’s talk about La Preciosa for a bit. I mean in our view the asset should really help growth of the firm in the intermediate and also in the longer term. Given current commodity pricing, the Mexican political climate and just general market sentiment, has your internal timeline for the asset shifted in any way over the past few months? And building on that question, just capital wise, how much cash flow do you anticipate using for the site in calendar ‘24?
David Wolfin: Well, first of all, the grade that we’re going to be mining there is much higher than what we’re mining now, so we’re excited about that. The timeline basically hasn’t started until we get the blessing of Tahitos, [ph] which we think we’re in the 11th inning. We’ve gone back and forth. They’ve been discussing at their assemblies. So we think possibly before the end of the year, we could have an agreement in place. And there’s above ground stockpiles that we can start processing right away.
Nathan Harte: And yes, on the cash flow side of things, obviously, as David mentioned, we expect to generate lot of cash flow from La Preciosa. But as far as the development and paying for that, one of the nice things is we will be developing in ore as we start at La Preciosa, as we follow our mine plan. But as well with Avino, we do project to generate cash flow in Q4 and continue into 2024, so we will have some cash flow to invest in.
David Wolfin: And the initial mine plan is on the Gloria vein, which is really close to the surface. It’s not going to be very expensive. And the above ground stockpiles will pay for a lot of that.
Heiko Ihle: On the Oxide Tailings project seems to be moving along quite well. I’m not sure if you can disclose any of this really. But has there been any impact, positives, negatives, anything compared to what you had previously anticipated for the asset? I mean, anything that you’ve seen as the study is getting together?
Carlos Rodriguez: Yes. Heiko, thank you for the question. A couple of things to note actually. We have a lot of construction experience. That’s something that we’ve done well with the expansion in Circuit 4 with the dry stack tailings. And that experience directly translates to accurate predictions in pricing for this plant. And that’s going to be lower cost than typically what an engineering company would spec for this. So, we feel that we’ll be accurate with our construction costs based on our experience.
David Wolfin: And the big change is we went from looking at a heap leach to dynamic leaching, which is contained.
Carlos Rodriguez: Yes. So I mean, if I just want to maybe summarize the changes that we’ve seen, when we did that drilling, we also found a lot more material. We increased our resource significantly and that was updated in the resource. And certainly, we’ll have reserves that come out of this prefeasibility study and that will be forthcoming. I can’t say too much on that. But that would be a big change. As David mentioned, the change in process from heap leach to dynamic leaching and then finally our construction experience to really dial in accurate costs that are lower than industry average.
Heiko Ihle: You may have noticed both of my questions related to things in the future. That’s by design and not a coincidence, because I think the future potential is quite large. And with that, I’ll go back in queue. Thank you very much.
Operator: The next question is from Jake Sekelsky with Alliance Global Partners. Please go ahead.
Jake Sekelsky: So just starting from a high level, I mean, the strength of the peso is something that negatively impacted producers across the board, in Mexico this quarter. I was just wondering if you can touch on that impact to cost and maybe on any hedging programs you have or you plan to engage in, going forward.
Nathan Harte: Yes. Jake, Nathan here. So obviously, you can see across all the producers in Mexico the impact this is having, even the developers or anyone really. So, this is not something -- we did see this in the second quarter as well, probably worse than the second quarter actually, but then there’s seen a little bit of an improvement in the third quarter. So we’re actively managing kind of our foreign exchange rates, especially because we pride ourselves in spending a lot of money in pesos because we’re with local contractors and suppliers, and we have a 100% Mexican labor force down at site. So, that obviously is something that does have a direct impact on us. As far as hedging programs, we do monitor and we are continuing to track projections for the peso. A lot of sentiment is that it will back off. But having said that, when we’re going through our budget process for next year, we’ll be looking at some alternatives for managing the peso, kind of hedging being one of them.
Jake Sekelsky : And then just more of a housekeeping, CapEx was just under $2 million in Q3. Is that sort of a baseline level we should expect going forward heading into next year, or do you have any larger sustaining capital items that you see popping up over the next year?
Nathan Harte: So for Q4, probably fairly light, ideally a bit lower. We do have some larger capital maintenance items we have to do, some overhauls of some equipment that will be likely in 2024. But also looking towards La Preciosa, which as you noted, it isn’t exactly sustaining capital. That’s growth capital for us. We have acquired some equipment for that, but we will need more and as well obviously some of the cash flow -- generate data from Avino is earmarked for development.
David Wolfin: We got the most important piece of equipment, the new jumbo, driving the ramp.
Nathan Harte: Yes. We have gotten equipment ahead of time, stuff that can be used at Avino in the meantime, but can be transferred over to La Preciosa as soon as we get the green light.
Operator: The next question is from Matthew O’Keefe with Cantor Fitzgerald. Please go ahead.
Matthew O’Keefe: Just a couple of operational questions for you. First up on the -- you mentioned you hauled out 207,000 tons to surface, about 3% more than you milled. What’s the nature of those tons? Are they low grade, going to a low grade stockpile? Are you building out a stockpile? Is it reflecting increased efficiency from the mining side? Could you talk about that a little bit?
Carlos Rodriguez: Yes. Thanks so much, Matt. That’s a great question. We have -- so if you remember last quarter, we improved our ramp conditions, and that’s dramatically improved the ability to haul from underground. So, we have been hauling -- the mine has been outperforming the mill, so to speak. And that’s building a stockpile and that would be actually high grade stockpiles. The issue with some of this material -- I shouldn’t say the issue, or the challenge with it, some of those boulders are quite large, so we needed a rock breaker that is now on-site, to break some of that material. So in Q4, we look to be slowing haulage a little bit to draw down on those stockpiles, which will help improve our costs certainly, as well I see some very good grade that go through the mill is what we’re seeing right now.
Matthew O’Keefe: And then, just another question on the mill itself. I know you’ve made some modifications, but in the last couple of quarters, we’ve seen recoveries trend down both for silver and copper. Can you discuss that a little bit and can we expect to see that -- those recoveries move back up?
Carlos Rodriguez: Yes. I think the simple answer is yes. I think we can expect those recoveries and grades to move back up. And the reasoning for the decrease in grade is, we didn’t have a piece of equipment, the rock breaker on-site to break some of the larger un-oxidized material and as a result, we had a higher percentage of the fine material was oxidized. So that has a twofold effect. One, the grades a little bit lower and then the recovery rates are a little bit lower. When you’re starting with the lower grade, even if you have the same tailings grade, your recovery ends up getting hit a little bit. So it’s kind of the double whammy. The nice -- or the fact is that we are now through that material, we have the rock breaker. We’re now breaking those larger boulders that have the higher grade material and we’re already seeing the higher recovery and grades in the mill.
David Wolfin: Yes. And the automation has worked well. It’s just a few key pieces of equipment were delayed in arriving that affected certain circuits.
Matthew O’Keefe: And is that oversized material common that you’ve had, or is that a function of different ore, or you need to work a bit more on some of your blasting…?
Carlos Rodriguez: No, that’s a fair question. No, as far as blasting, you know, we have a lot of rock mechanics consultants come in, and we’ve kind of optimized the blasting. It’s kind of the nature of the ETR body is that sometimes you get some relatively large boulders, in different sections. And so you just -- you need a rock breaker on surface to send some of that through.
David Wolfin: The stockwork systems, when they blast, the shock goes down where the fractures are and it just happens. We’ve had experts on-site, as you said and we’ve optimized it as best we can.
Carlos Rodriguez: So we just get some slabs, to David’s point.
Operator: [Operator Instructions] The next question is from Richard Mangan, [ph] a private investor.
Unidentified Analyst: I have a quick question in reference to wanting more color on the third Tahito [ph] group. And what happens if they choose not to sign? Does it go to arbitration, or what actually happens?
David Wolfin: Well, we’re in the final stages of negotiations with them.
Operator: Pardon me. Mr. Mangan, could you please mute your phone? We’re getting your feedback.
Unidentified Analyst: Is that better?
David Wolfin: Yes. So, we’re in the latter stages of negotiation. They want the agreement in place. So, it’s just fine-tuning it. So, it’s imminent.
Unidentified Analyst: But I guess my point is if they choose not to sign, what happens?
David Wolfin: They want to sign, they want the economic benefit. So, it’s happening. It’s moving forward.
Unidentified Analyst: Okay. Thank you.
Operator: This concludes the question-and-answer session. I’d like to turn the conference back over to David Wolfin for any closing remarks.
David Wolfin: Thank you everyone for joining us on this call today. We’re looking forward to a better, healthy Q4. So, stay tuned for some news from us. We’ll have the prefeasibility study completed in Q4. So, hopefully, we can get that news out to you before year end. If not, it will be early in January. So, thanks again, and have a great day.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.